Operator: Please standby, we're about to begin. And welcome to Bed Bath & Beyond’s First Quarter of Fiscal 2007 Results Conference Call. All participants are in a listen-only mode for the duration of the call. This call is being recorded. A rebroadcast of the conference will be available beginning on Wednesday, June 27th, 2007 at 6:30 pm Eastern Time through 6:30 pm Eastern Time on Friday, June 29th, 2007. To access the rebroadcast, you may dial 1-888-203-1112, with a passcode ID of 4853027. Now at this time, I would like to turn the conference over to Ron Curwin, Senior Vice President of Investor Relations of Bed Bath & Beyond. Mr. Curwin, please go ahead.
Ron Curwin: Thank you and good afternoon. Welcome to Bed Bath & Beyond’s first quarter fiscal 2007 conference call. Within the past hour, we issued a press release covering Bed Bath & Beyond’s results for the three-month period ended June 2nd, 2007. During this call, we will comment on some of the quarter’s highlights and update guidance for fiscal 2007, a 52-week year ending on March 1, 2008. Before proceeding, I will read the following statement. “Bed Bath & Beyond's fiscal first quarter press release and comments made during this call may contain forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended. Many of these forward-looking statements can be identified by the use of words such as may, will, expect, anticipate, estimate, assume, continue, project, plan and similar words and phrases. The Company's actual results and future financial condition may differ materially from those expressed in any such forward-looking statements as a result of many factors that may be outside the company's control. Please refer to Bed Bath & Beyond’s fiscal first quarter of 2007 press release and its SEC filings, including its Form 10-K for the year ended March 3, 2007. The company does not undertake any obligation to update its forward-looking statements.” In addition, our company continues to cooperate with the informal inquiry of this Securities and Exchange Commission and the inquiry of the United States Attorney’s Office for the District of New Jersey, regarding our stock option grant practices. Warren Eisenberg, Co-Chairman of Bed Bath & Beyond, leads off today's call. Steven Temares, Chief Executive Officer and a member of the Board of Directors will follow Warren. Our earnings guidance for the fiscal second quarter and for all of fiscal 2007 and some additional financial commentary will conclude today’s call. I'm now very pleased to introduce Warren Eisenberg. Warren?
Warren Eisenberg: Thanks Ron. We are very pleased to announce, our fiscal first quarter of 2007 produced record first quarter net sales and earnings per share. At the same time, in the phase of what proved to be a challenging retail environment, specifically for home-related products, we are disappointed that we fell just short of achieving our quarterly financial goal. However, as we look at the retail market for home-related products, we believe our company with this market share at an all time high continues to distance itself from our competitors. We’re stronger today than ever and we remain highly confident in the ever-growing success of our business. We opened six new Bed Bath & Beyond stores during the fiscal first quarter ending the period with 821 stores in 48 states, the District of Columbia and Puerto Rico. In addition, one Christmas Tree store was opened during the fiscal first quarter. Consolidated store space at June 2, 2007 was approximately 28.3 million square feet. For all of fiscal 2007, we expect to open approximately 70 new Bed Bath & Beyond stores. We plan to add four more Christmas Tree Shops stores and substantially complete our planned Christmas Tree Shops distribution facility of approximately 700,000 square feet to support new stores going forward. We also plan to open additional buybuy BABY and Harmon Stores before yearend. As we said in prior conference calls and in our most recently filed 10-K, we’ve been exploring international expansion and we are pleased to announce that a lease has been signed for our first store outside the United States and its territories, which will be located in Richmond Hill, Ontario, which is in the Greater Toronto area. We are very excited about our entering to Canada and believe our neighbor to the north provides still another excellent growth opportunity for us. As we’ve done for several years, we continue to review other international opportunities. Going forward we continue to target in an excess of 1,300 domestic Bed Bath & Beyond stores. We also will take advantages of the opportunities presented by our Christmas Tree Shops, buybuy BABY and Harmon stores concepts and now Canada. We’ve increased our investment spending over the last few years to build the infrastructure necessary to support our future growth. And our financial strength allows us to continue to reinvest in our company for our long-term success. We continue to review and consider other productive uses of our capital, of course including acquisitions, share repurchases and as mentioned additional international activity. Our $1 billion share repurchase program, approved by our board of directors last December, authorize our company to purchase shares of its common stock with funds from present and expected future cash flows. During the first fiscal quarter, we purchased approximately $287 million of our common shares. Since December, we’ve repurchased approximately $587 million under the $1 billion authorization. This program, the third since 2004 reflects the board's confidence in our future. As we mentioned earlier, we are aware of the results here reported by other retailers who principally sell merchandise related to the home, and of the macro economic environment in which we’re operating. Although, we're obviously not immune with the market conditions, we expect to continue to outperform the other participants in the home goods sector. Despite the near-term headwinds, we are confident home goods will continue to be an attractive and profitable area of retailing over the long-term, and we will continue to exploit the many opportunities that regularly present themselves. Through the efforts of our over 35,000 associates in our decentralized environment, with our strong financial condition and our competitive position in the marketplace, we are confident that fiscal 2007 will be another successful year. And now, I’ll turn the call over to Steven Temares. Steve?
Steven Temares: Thank you Warren. Good afternoon everyone and thank you for participating in this conference call. In our June 4th press release, we stated that based on our own experience and that of others, the overall retailing environment, especially for the sale of merchandise related to the home, has been challenging. While the slowdown in housing and higher energy cost may be currently affecting our sector, we have always taken a long-term approach to our business. We have been and continue to be focused on building a business that stands the test of time. By remaining focused on becoming our customers' first choice for the products we offer, domestically, interactively, and over the long-term internationally, we work to continue to distance ourselves from our competitors. We are very pleased that during the past quarter we completed the acquisition of buybuy BABY an eight store chain offering a broad assortment of merchandise for expectant parents and later their infants and toddlers. As we said in April, the addition of buybuy BABY to our Bed Bath & Beyond, Christmas Tree Shops and Harmon stores concepts is an excellent strategic fit, which will further strengthen our company and permit us to satisfy our customers in new ways by servicing another portion of their lifecycle. We pointed out at that time that with just eight buybuy BABY stores today, and the fact that Bed Bath & Beyond’s customer base includes many perspective and current parents, as well as their relatives and friends, we believe this category of business has tremendous growth potential for us. We are excited about the opportunity this provides to enhance our offerings to our customers in our stores and through our e-service sites. Subsequent to the end of the fiscal first quarter, we are pleased to execute a lease from our first international store in Richmond Hill, Ontario, which is located north of Toronto. We believe Canada provide still another excellent growth opportunity for us. In addition to the all cash Acquisition of buybuy BABY and our entry into Canada, we are pleased to provide value to our shareholders through our $1 billion share repurchase program. As Warren said, during the first quarter, our company repurchased approximately $287 million of our common shares. Since December we have repurchased approximately $587 million under the $1 billion authorization. We expect that our profitable operations will enable us to not only continue our share repurchase program, but also continue to invest in our infrastructure, as well as maintain our flexibility to continue to take advantage of opportunities as they may arise. To briefly touch on the financial highlights of our fiscal first quarter, our company earned $0.38 per share compared with a $0.35 per share earned in the first quarter a year ago. Net sales for the fiscal first quarter were approximately $1.6 billion about 11.3% higher than in the corresponding fiscal 2006 period. First quarter comps were up 1.6% and last year’s first quarter comps were up 4.9%. Gross profit for the fiscal first quarter was about $646 million or 41.6% of net sales, compared with $590 million or 42.3% of net sales during the first quarter of 2006. The gross profit deleverage resulted primarily from an increase in inventory acquisition cost, a shift in the merchandise mix sold and a heightened promotional environment. Selling, general and administrative expenses for the fiscal first quarter were about $492 million or 31.7% of net sales, compared with approximately $441 million or 31.6% of net sales in the corresponding quarter a year ago. SG&A as a percentage of net sales deleveraged approximately 10 basis points for the quarter, due primarily to a relative increase in advertising expense, although the number of advertising events remained consistent. This was partially offset by relative decreases in payroll and payroll related items, as well as store pre-opening expenses. Principally reflecting the lower gross profit margin, the operating profit margin for the first quarter was lower by approximately 80 basis points. During our first quarter, we added six new Bed Bath & Beyond stores bringing to 821, the number of stores operating at quarter end located in 48 states, the District of Columbia and Puerto Rico. Also at quarter end, Christmas Tree Shops operated 35 stores in nine states, buybuy BABY operated eight stores in four states and Harmon stores operated 39 stores in three states. Consolidated store space as of June 2nd, was approximately 28.3 million square feet. We continue to open new fine china departments and new Harmon Health and Beauty Care departments within Bed Bath & Beyond stores. In addition, we continue our efforts to increase the productivity for the existing stores by expanding, remodeling and/or relocating them. As Warren said, at this time, we anticipate opening approximately 70 new Bed Bath & Beyond stores for all of fiscal 2007. We plan to add four more Christmas Tree Shops stores and substantially complete our planned Christmas Tree Shops state-of-the-art distribution facility of approximately 700,000 square feet to support new store growth going forward. We also planned to open additional buybuy BABY and Harmon stores before yearend. In addition, we are developing new E-Service fulfillment center to accommodate future demand. Despite our substantial growth, infrastructure enhancement, the all cash acquisition of buybuy BABY and share repurchase program, cash, cash equivalent and investment securities totaled about $770 million at June 2nd, 2007. Our balance sheet is solid and our cash flows continue to provide us with a distinct competitive advantage. Competition as we all know is not new to retailing or to the sector we serve. As we've said, we expect that Bed Bath & Beyond’s place and our customers’ mindset will continue to grow in the years ahead, and we will accept nothing less. We will continue to respond to our customers by providing them with a very best shopping experience for home-related merchandise that they can find anywhere. As you will hear Ron discuss during the guidance portion of this call, our ability to give reliable quarterly guidance has become difficult. In addition to the macro economic environment, our implementation of FIN 48, Accounting for Uncertainty in Income Taxes has significantly increased the variability in our quarterly tax rates. As such, we feel it prudent to provide a broader range of earnings guidance than we have in the past. At the same time, we are confident about our future growth prospects and believe our company is better positioned than ever to compete. We are still budgeting capital spending for all of fiscal 2007 to be approximately $375 million. We like to emphasize that in a challenging economic environment, while other than our industry might be unable to invest in their infrastructure and are in fact curtailing operations or limiting growth. We have the resources and are committed to investing in our company to provide our customers with a better shopping experience for years to come. The widening gap between us and our competitors creates a significant opportunity for our company to continue to increase our share of the home furnishings and other markets that we serve. Again, by taking a long-term approach to building the Bed Bath & Beyond, Christmas Tree Shops, buybuy BABY and Harmon stores concepts, and by making the investment in our infrastructure, we expect that all aspects of our business will continue to contribute to the achievement of our goals in the years ahead. Since becoming a public company through reinvesting in our business, we have grown from 34 stores in nine states doing approximately $168 million in net sales to expecting to end this year with over 970 stores in 49 states, the District of Columbia, Puerto Rico and Canada and doing over $7 billion in net sales. As I’ve said, simply put, our company has never been stronger or better positioned to compete, and we are confident that fiscal 2007 will be another successful year. So to recap, Bed Bath & Beyond’s fiscal first quarter produced earnings of approximately $0.38 per share on an approximately 11.3% increase in net sales and a 1.6% gain in same-store sales. With our annual meeting of shareholders scheduled to take place on Tuesday, July 10th, 2007, we would like to thank our shareholders in advance for supporting the recommendations of our Board of Directors with respect to each of our proxy proposals. We encourage shareholders who have not yet voted to take advantage of electronic voting either via the Internet or by telephone. Those who have questions regarding any of the proposals should feel free to discuss them with Ron, Ken Frankel or Lisa Kaplowitz, who will be in their offices at the conclusion of this call. I’ll now turn the call over to Ron. Ron?
Ron Curwin: Thanks Steve. Beginning with, I’d like to mention some highlights with respect to our financial position as of June 2, 2007, which includes the accounts of buybuy BABY acquired during the quarter. One: Our consolidated balance sheet remained strong and flexible, even after the all cash acquisition of buybuy BABY, share repurchases and capital expenditures, the combined total of cash, cash equivalents and investment securities was approximately $770 million at that date. Two: We are very pleased that merchandise inventories were on plan at approximately $1.6 billion. Inventories continue to be tailored by store to meet the anticipated demands of our customers and are in excellent position going into the summer selling season, which includes the important back-to-college period. Three: Shareholders equity, after taking into consideration the share repurchases, was approximately $2.5 billion. With respect to the balance of the fiscal year, the following are our major planning assumptions for fiscal 2007, which include buybuy BABY from the date of acquisition. One: We expect to open approximately 70 new Bed Bath & Beyond stores and relocate several existing stores. Six stores were opened during our fiscal first quarter, and in fiscal second quarter approximately 10 Bed Bath & Beyond stores including two, which have already opened are expected to make their debut. We expect the balance of the new store openings to be divided equally between the third and fourth fiscal quarters. Our second Christmas Tree Shops store opening this year will occur in late July, followed later in the year by approximately three additional openings. We anticipate that our second Christmas Tree Shops distribution facility, which will be company-owned and operated and will support new stores going forward will be substantially completed by the end of our fiscal year. Additional buybuy BABY and Harmon stores and our newest E-Service fulfillment center to accommodate future growth in our online business will also open before our fiscal yearend. Two: As of the beginning of this fiscal year, we implemented FIN 48, Accounting for Uncertainty in Income Taxes. Based on the provisions of FIN 48, as applied to the expected components and seasonality of our current estimated taxable income for the year, at this time, we expect our full year effective tax rate to be in a range of from 37.2% to 37.5% as compared to our prior estimate for the full year and the actual experience for the first quarter of 36.3%. Throughout the year due to the implementation of FIN 48, we expect ongoing variability in our quarterly tax rates, which could vary as much as 200 to 300 basis points in a quarter as taxable events occur and tax exposures are reevaluated in accordance with these new accounting rules. Three: For the second quarter, for planning purposes, we currently anticipate that the macro economic client climate experienced in the first quarter will persist in the near-term. Assuming no change in the economic client, an increase in the second quarter tax rate as calculated under FIN 48, and the continuation of our fist quarter comp sales trend, we expect to see either flat or a low single-digit percentage increase at earnings per share in the second quarter. Due to the macro economic environment, as well as the impact of FIN 48, it has become even more difficult than ever to provide reliable guidance for future quarters including this year’s fiscal third and fourth quarters. With that understood, we will nevertheless make an effort to provide our outlook for the balance of fiscal 2007. To begin with, we do anticipate positive comp sales in the back half of the year. For the third quarter, if our first quarter comp sales trend were to continue, we would expect to see a flat to low single digit percentage decrease in earnings per share as compared with last year's $0.50 per share. However, if comps are consistent with our historical guidance of 3% to 5% increase, we would expect earnings per share to increase by approximately a mid to high single-digit percentage. For the fourth quarter, recall that in last year's fourth quarter, we reported earnings of $0.72 per share. The $0.72 included a $0.07 per share non-recurring charge, as well as a benefit of an additional week of net sales of approximately $105 million. Excluding this non-recurring charge, earnings per share for the fourth quarter of fiscal 2006 would have been $0.79 per share. Using this $0.79, not the $0.72 per share as reported, if first quarter comp sales trend were to continue and considering one last week of sales than a year ago, we would expect earnings per share to decrease by a low to mid single-digit percentage from last year's $0.79 per share. If comps are consistent with historical guidance of an increase of 3% to 5%, we would expect the year-over-year change in earnings per share to range from a low single-digit percentage decrease to a low single-digit percentage increase, primarily due to the extra week in fiscal 2006. Four: As a result of the ongoing share repurchase program, the acquisition of buybuy BABY and an increase in capital expenditures among other considerations, interest income is expected to decline for all of fiscal 2007. Five: Capital expenditures for all of fiscal 2007, principally for new stores, existing stores refurbishment, information technology enhancements, the new Christmas Tree Shops distribution center, a new E-Service fulfillment center and other infrastructure investments are presently being estimated at $375 million. Depreciation has been planned at approximately $150 million. Again, while we appreciate these assumptions result in a broader range of earnings guidance than we previously have provided due to the macro economic environment and the implementation of FIN 48, we believe the ability to give reliable quarterly guidance has become more difficult. Regardless, we believe that our comp store sales will continue to be positive, our share of the home furnishings market will continue to grow, and our demonstrated long-term ability to outperform others in the sale of our products will continue as well. Again, as Warren and Steve have both said, we believe the fiscal 2007 will be another successful year. As a reminder, our next conference call to review our fiscal second quarter and fiscal first half results will be on Wednesday, September 26th, 2007. If you have any questions, Ken, Lisa and I will be in our offices this evening, June 27th to take your calls. As always, we very much appreciate your interest in Bed Bath & Beyond.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you all for listening. You may now disconnect.